Operator: Good afternoon. Thank you for attending today's Century Aluminum Company First Quarter Earnings Call. My name is Tania, and I will be your moderator for today's call. [Operator Instructions]. I would now like to pass the conference over to our host, Peter Trpkovski with Century Aluminum. Please go ahead.
Peter Trpkovski: Thank you, Tania. Good afternoon, everyone, and welcome to the conference call. I'm joined here today by Jesse Gary, Century's President and Chief Executive Officer; and Shelly Harrison, Senior Vice President of Finance and Treasurer. After our prepared comments, we'll be happy to take your questions. As a reminder, today's presentation is available on our website at www.centuryaluminum.com. We use our website as a means of disclosing material information about the company and for complying with Regulation FD. Turning to Slide 1. Please take a moment to review the cautionary statement shown here with respect to forward-looking statements and non-GAAP financial measures contained in today's discussion. And with that, I'll hand the call to Jesse.
Jesse Gary: Thanks, Pete, thanks to everyone for joining. I'll start today by reviewing the highlights from our record first quarter results and then discussing the constructive market conditions in which we are operating. Shelly will then take you through the details of the first quarter results and provide some insight on our expectations for Q2. I'll finish with a review of the status of the Grundartangi casthouse project and our progress towards our capital allocation targets. Okay. Starting on Page 3, we're very renounced that we achieved record quarterly adjusted EBITDA of over $105 million in the first quarter, a 30% increase over Q4. This was matched with a 14% increase in net sales for the quarter. This performance is a reflection of the hard work completed by our Century teams across locations over the past several years, bringing on additional production and increasing our proportion of value-added products. We are very pleased to be seeing the returns from these past investments come to fruition. To that end, our quarterly shipments increased by 5% from Q4, reflecting our highest level since 2015. The increase was mostly driven by our expansion projects at both Mt. Holly and Hawesville, both of which are now substantially complete. We should expect additional volume gains of about 10,000 metric tons in Q2, as the newly restarted pots in Mt. Holly produced over a full quarter and pots back online at Grundartangi. We achieved these production levels despite power curtailments in Iceland, decrease in Grundartangi shipments by approximately 3,000 metric tons in the quarter. As discussed on our last call, these curtailments were driven by low reservoir levels in Iceland, which have now begun to refill and return to more normal levels. The power curtailments ended earlier this month, and we are currently in the process of putting 36 curtailed pots back into production. We expect the smelter to return to full production sometime in May. Please note that these pots are return to production, we will have a one-time increase in our relining costs reflected in Q2 OpEx, which should not continue in future quarters. Shelly will cover the details on this in a bit. Across our assets, we remain focused on consistent and cost disciplined operations. Over the past year, we've made significant progress improving the stability and consistency of our smelters, which allows us to operate as efficiently as possible. Grundartangi’s steady execution through the first quarter power curtailment is a good example of this. In the US, the teams increased shipments over 13,000 metric tons, despite dealing with continued stress supply chains that resulted in the deferral of several major maintenance projects previously scheduled for the quarter. This deferral, along with the deferred top line in Grundartangi I discussed earlier, resulted in approximately $15 million in OpEx cost savings in Q1 that will now be pushed into Q2. Finally, I'd like to take a moment to commend our operators across our assets for the significantly improved safety performance over the quarter. Safety is a core value for Century, and we work hard to improve each and every day. All of our employees are proud of the progress they've made. Okay. Turning to page 4. You can see the market fundamentals for our business remain robust. We continue to forecast that the global aluminum market will remain in an over 1 million ton deficit in 2022, with the shortfall being increasingly centered in our markets in the US and Europe, where we are forecasting 4.3 million tonne deficit in the US and a 3.7 million tonne deficit in Europe for the year. Global deficits have shifted west as Chinese smelters have begun to restart capacity in Unan and Quanzhi [ph] that was curtailed over the winter. These restarts appear to be progressing in line with our expectations. In the West however, production growth is nearly at a halt, as there have not been any further restarted announcements and previously announced restarts in Brazil and elsewhere have experienced delays due to supply chain disruptions and other events. We do not foresee any research in Europe over the next few years, which instead remains at risk of further curtailment as energy prices in remaining production countries, continue to price above $250 per megawatt into 2024. Western inventories have continued to decline with LME stocks reaching their lowest level since 2005. Compared with continued high freight costs across the world, these dynamics continue to support strong regional premiums in the US and Europe, where the European duty paid premium has reached record highs of $610 per metric ton, and the Midwest premium remains in a record high of $870 per metric ton. Our geographic footprint with the short supply chains into both of these markets continue to improve advantageous in capturing these premiums. Turning to page 5. You can see that the LME price of aluminum remains strong in Q1, with LME prices averaging $3,200 -- $327 [ph] in the first quarter and averaging that same price so far in Q2. On the demand side, we have experienced strong demand for all of our products here to-date. We continue to expect World ex-China demand growth will land between 2.5% and 3.5% range that we discussed in March. Our US market remains especially robust, which we expect will outpace Europe for the year. While the war in Ukraine remains the rest of European growth, we have not experienced any significant war-related demand destruction to date. Supply and demand remains another highlight, with premiums at all-time highs as we enter Q2. In addition, our bill customers continue to order and add new extrusion presses, which we believe, will underpin continued bill-of-demand growth for the long term. Given the strength of the US build market, we have decided to move forward with several debottlenecking projects in the Sebree and Mt. Holly. We expect the first phases of these projects should be completed by the end of 2022 and should increase build capacity by over 10,000 metric tons in 2023 and beyond. With these projects, along with other smaller investment projects across our assets, we now expect 2022 investment CapEx to be about $10 million for the year. These are all very quick payback projects and follow within our return requirements. On the cost side, we saw continued upward pressure across key inputs with a notable exception of recent weakness in the alumina price. The most significant of these increases have been in energy prices. Although, first quarter energy prices taken as a whole were relatively flat from Q4 levels, we have more recently seen significant price increases in MISO, driven by high global coal prices and spiking US natural gas prices, which seem to be driven by lower-than-average US storage levels and strong US industrial demand. While these markets remain dynamic and continue to trade in significant backwardation, we now expect higher US energy prices over Q2 by about $25 per megawatt. Shelly will walk you through the expected impact for Q2. Coke and pitch prices also continued to increase so far during the second quarter, each increasing about 17% over Q1. We are well-supplied for both materials, but this is one area that has been impacted by the war in Ukraine, which is the supplier of feedstock for both commodities. On the other hand, alumina has been much more constructive this month after peaking at $530 per metric ton immediately following the curtailment of the Ukrainian aluminum refinery due to the war. The early concern following the closure of the Nikolaos refinery appears to have been misplaced as the market seems to be well-supplied with spodumene trading about $370 per metric ton today. As a reminder, aluminum prices flow through our results on a three to four-month lag, which means that Q2 realized alumina prices are expected to be flat quarter-over-quarter. We then will expect to benefit from current low pricing beginning in Q3. Shelly will now walk you through the financial results.
Shelly Harrison: Thanks, Jesse. Let's turn to slide 6, and I'll take you through the results for the quarter. On a consolidated basis, Q1 shipments were up about 5% quarter-over-quarter, primarily driven by Mt. Holly as the restart project is now substantially complete. Realized prices were up 8%, compared to prior quarter as a result of higher lagged LME prices and value-added product premiums. The combination of higher shipments and realized selling prices drove a 14% increase in sequential net sales. Looking at operating results. Adjusted EBITDA was $105 million in Q1 and adjusting items this quarter included $3.3 million for share based compensation. Liquidity from available cash and credit facilities was $154 million at the end of Q1, which is a $54 million increase from prior quarter. Turning to slide 7. Here, we'll go through the $23 million sequential increase in adjusted EBITDA. As we forecast on our last call, the Q1 realized LME of $2,762 a ton was up $158 versus prior quarter, while realized Midwest and European delivery premiums were relatively flat at $0.32 per pound and $343 a ton, respectively. Indian power prices in Q1 averaged $50 a megawatt hour, which is down about 9% versus Q4, while Nord Pool prices averaged $122 per megawatt hour or up 11% versus prior quarter. The impact of these two changes roughly offset each other. Lagged alumina index prices were up $85 per ton versus prior quarter and coke and pitch prices continued their upward trend, which realized prices increasing about 15% for each. Value-added premiums added $15 million to Q1 EBITDA as we're now benefiting from higher billet prices in our Cal-22 contract. Lastly, we had a volume benefit of about $8 million related to higher shipments as well as $15 million benefit for lower operating costs in Q1. As Jesse mentioned, the operating cost savings were a result of deferring a number of our planned maintenance projects into Q2 as well as some deferred pot relining at Grundartangi due to the temporary power curtailments that have now been lifted. Okay. Let's turn to slide 8, and we'll take a quick look at cash flow. Our cash position remained relatively flat, going from $29 million at 12/31 to $27 million at 3/31. CapEx spending was $26 million in Q1, with about $10 million of that relating to the restart at Mt. Holly and $10 million related to the Grundartangi casthouse. Cash paid for hedge settlements was $17 million for the quarter. Finally, working capital was also a use of cash in the quarter, as higher volumes and aluminum price increases drove higher receivable values, partially offset by higher payables. Importantly, we were able to hold inventory levels reasonably flat quarter-over-quarter with lower days on hand offsetting the impact of higher prices. Now let's turn to Slide 9, I'll give you some insight into our expectations for the second quarter. For Q2, the lagged LME of $3,160 a tonne is expected to be up about $400 a tonne versus Q1 realized prices. The Q2 lagged Midwest premium is forecast to be $870 a tonne, an increase of 160 and the European delivery premium is expected at $505 per tonne, also an increase of $150 a tonne. Taken together, these aluminum price increases are expected to increase Q2 EBITDA by about $100 million versus Q1 levels. Lagged API-based alumina is expected to be $415 a tonne, which is flat with Q1 prices. While realized alumina prices will remain high for us in Q2, the API has come down significantly, and we expect to see the benefit of lower spot prices in our Q3 results. From the power perspective, factoring in the recent forwards, along with our realized quarter-to-date costs, we expect an overall increase in total energy cost versus Q1, with domestic prices up about 50% and Nord Pool prices relatively flat. This increase in energy costs would equate to about a $45 million decrease in EBITDA versus Q1. This $45 million includes the impact of one month of our new power capacity prices for our Kentucky smelters, which will go into effect on June 1. The capacity price increase reflects roughly $1 increase per quarter that will fully materialize in Q3. Capacity charges are payable in addition to our base energy costs and prices are reset by MISO at auction every 12 months. Coke and pitch prices have been on the rise since mid-2021, and we expect that trend to continue with a Q2 increase of about 20% versus the first quarter. These price increases are expected to drive a $15 million EBITDA decrease versus the prior quarter. As Jesse mentioned, we expect an additional 10,000 tonnes in Q2, which will contribute about $10 million of additional EBITDA. Going the other way, we expect a quarter-over-quarter increase in operating expenses of $25 million to $35 million as we complete the maintenance and pot rebuilds that were deferred from Q1. In total, we expect all these items taken together will equate to an approximate EBITDA increase of $15 million to $25 million from Q1 levels for our Q2 results of about $120 million to $130 million. From a hedge standpoint, we expect a realized loss of about $20 million to $25 million in the second quarter, and we expect a tax expense of approximately $10 million. As a reminder, both of these impacts will be below EBITDA geographically and will affect adjusted net income. And with that, I'll turn the call back to Jesse.
Jesse Gary: Thanks, Shelly. Okay. If you'll turn to Page 10, I'll conclude the call with a quick update on our Grundartangi casthouse project and our capital allocation plans for the year. The casthouse project to Grundartangi is off to a great start with major engineering work completed and material equipment contracts in place. Site work is commenced, and we continue to expect that we'll deliver the project on budget and on schedule ready-to-sell billets into the 2024 market. Turning to capital allocation, we made good progress towards our liquidity and net debt targets over the quarter, finishing with the liquidity of $154 million in net debt, excluding the Grundartangi casthouse of $388 million. As discussed earlier, we now expect to spend approximately $10 million for the year on an investment CapEx project, primarily relating to the casthouse debottlenecking projects at Sebree in Mt. Holly. Sustaining CapEx for the year should fall within the $30 million to $35 million range we discussed on our Q4 call. Given the constructive market environment, we continue to expect that we will already reach our targeted net debt and liquidity levels sometime in the second half of this year. And with that, we'll turn it over to questions.
Operator: Thank you. [Operator Instructions] The first question is from the line of Timna Tanners with Wolfe Research. Your line is open.
Timna Tanners: Yeah. hey, good afternoon. I wanted to – 
Jesse Gary: Hey, Timna.
Timna Tanners: Just start out and ask some high-level questions. I wanted to get Jesse thoughts on the aluminum market. It's nice to hear from you Shelly, I hope you well. But with the aluminum market, I was interested in your comments on China. I just want a little bit more color on some of the restarts there and if China might be ramping up exports to capitalize on high prices. I know that's a risk is on your take on it? And then just in your comments that there wasn't new capacity coming on in Europe. I think there's a Spanish smelter. We know of restarting and some talk of wind power. So I just thought it would be interesting to get your take on that and further delay on restart commentary?
Jesse Gary: Sure. Yeah. So in China specifically, after we saw the shutdowns over the winter and early in the fall due to some water and sort of other power tightness issues in China. Of course, we knew that come spring as the reservoirs we filled in Grundartangi that we would start to see some of these restarts, and we have seen those come on, and it's sort of in line with what we had expected. So no real surprise there in terms of supply coming online in China. With respect to exports, I mean, we haven't seen this yet. Of course, they're having issues in the ports and touch to sort of sort through all of the gives and takes there. But we haven't really seen that pressure yet coming into our market, that at least. In Europe, of course, there's been some announcements, but they're usually pretty far dated announcements. But just looking at the four power groups in Europe, you see really heavy energy prices continuing into 2024. And of course, recent news over the past last part even remember yesterday or today with gas supplies in Russia being further curtailed or interrupted. I think that just adds pressure to what can happen in sort of the medium term here.
Timna Tanners: Okay. Thank you. That's helpful. And then I just wanted to think conceptually based on what we know now and thinking into the second half, so all else equal, which I know is never happens, but alumina prices falling, aluminum prices at these levels, assuming some of these outage costs roll off. What do we think about the second half? And is that a fair way to think about the market? Are there other things around the corner that we know? Or are they – given where we sit today, are there other items that you could flag for us?
Jesse Gary: Yeah. I think that's a pretty good start, Timna. So we know that the power interruption in Iceland has stopped. And so we'll have those tons coming back online at Grundartangi . As I mentioned, it's about 36 pots. We're already in that process. And so we should exit the quarter across the system at basically full run rates that we communicated to you earlier in the year. There are some gives and takes, of course. We do have high energy prices in Europe. We have a little bit of exposure to that in Iceland. Remember, we have a Nord Pool link for a portion of the [indiscernible] power, although 60% of that is hedged. So there's just a little bit of exposure to Europe there. And then in the US, we have seen some higher energy costs -- so we're working that closely. Those are mostly driven by the gas price, also some high coal prices. But those will be partially offset, at least by falling aluminum prices. So I think you sort of had it in there, just maybe filling out a couple of other pieces there.
Timna Tanners: Okay .Super. I’ll hand over. Thanks.
Jesse Gary: Great
Operator: Thank you, Ms Tanners. The next question is from David Gagliano with BMO. Your line is open. 
David Gagliano: Hi. Thanks for taking my questions. I missed some of the beginning here, I apologize. But can you explain a little bit more or reiterate or rehash the deferred OpEx in the first quarter that's coming back in the second quarter. What was that about again? I missed that part.
Jesse Gary: Yes, sure. So it's mainly on the US side, David. But as we focus sort two things going on there as we focus on bringing on Post Mt. Holly. And then we saw -- we did see some supply chain disruptions coming through. And we just made the decision to defer some of the major maintenance projects that have been scheduled for Q1 into Q2. So no increase overall in the [indiscernible] annually but just a little bit of timing movement there from Q1 into Q2. And then there's another piece in there, which is just as the Icelandic power interruption what's going on, of course, we weren't bringing pots on during that time period. And so as we bring those pots on in Q2 instead, you'll see a spike in relining costs that will be onetime in Q2.
David Gagliano: Okay. So that’s – Okay so -- and then I believe you said in your prepared remarks that Q1 deferred ended Q2 from the US side was 15 million right. Is that right
Jesse Gary: Yes there’ll be 15 in total – including both the Icelandic realigning and deffered OpEx from the USA [ph]
David Gagliano: Okay then in Slide 9 the deferred OpEx for 2Q is a total of, at the midpoint increase of $30 million. So -- is there.
Jesse Gary: That is because we're -- no, it's just when you compare sequentially, David, obviously, Q1 was $15 million lower. And then when you move that into Q2, you get the 15 plus 15 30
David Gagliano: Okay. And I'll just leave it at that. I'll turn it over to somebody else. I'm playing catch up on the slides. Thanks.
Jesse Gary: Okay. Thanks, David.
Operator: Thank you. Mr. Gagliano. The next question is from the line of John Tumazos with John Tumazos Very Independent Research. Your line is open. 
John Tumazos: Thank you for taking my call – my question. Jesse, could you describe how the Board determines your compensation and bonus I'm just curious of how you're incented. You're referring to the record results. I presume that's EBITDA. The stock price record was $80 in 2008, and it was $30 in 2014 earlier this year. So from a shareholders' perspective, it doesn't feel like a record moment.
Jesse Gary: Yes. I was referring to EBITDA, John. Of course, we'd like to see the stock price higher as well. My compensation is very similar to other public company compensation. You will see that there is a significant portion of that at risk and it's heavily weighted to stock price performance.
John Tumazos: Jesse, I'm kidding you a little bit now. Chuck Mills a famous football coach used to say that, you treated reporters like mushrooms, you kept them in the dark. It would be better if your full 10-K was disclosed before the call and we have all the hedge data and background to ask better questions and understand things better. The press release, I saw at 4:23, the slides after 5:00 o’clock , where some of those aren't enough to figure it out that as I just want to call with you?
Jesse Gary: I remember Chuck Noel, John, I also remember Check Knox, I grew up [indiscernible]. So about that same era. But if you just turn to Page 17 of the slide, you'll see the hedge slide that we've been including for the past several quarters. No change there, quarter-over-quarter.
John Tumazos: Thank you.
Operator: Thank you. Mr. Gagliano. Thank you, Mr. Tumazos. The next question is from the line of Lucas Pipes with B. Riley. Your line is open.
Lucas Pipes: Thank you very much for taking my question. And just a quick one for me. I'd like to understand Icelandic power better. How -- I'm sorry to kind of get a little bit of an education on the Icelandic power markets. But how is that linked to kind of the broader European price trends? So, if we were to see further escalation, for example, natural gas has cut off to more than just Poland and Bulgaria. How would that might shape back up to the Nord Pool? Thank you very much.
Jesse Gary: Sure. Yes, it's a really good question, Lucas. So just to start at the top level. If you look at Page 16, you'll see the breakdown of our energy costs. So, Iceland is 70% LME linked and 30% linked to Nord Pool. The Nord pool is the market for Norway in a number of other countries sort of in Northern Europe. And it's the contract -- the physical energy contract that we have with Landsberg [ph] and Iceland is linked to the Nord pool system price of power. So, you can see that go to North pool and see what that system price of power is. That market is heavily hydro generation, but they also have some interconnectors into Europe. And so, while you don't see the full impact of the gas prices reflected in Nord Pool pricing, for instance, like you see in Germany or France or some of the other smelter-based countries in Europe. You do see some elevated prices due to those interconnectors into the Mainland. If you look, actually, we have a pretty good slide on page -- I just put here. Yeah. On page four, Lucas. So on the bottom right-hand corner here, you can see the orange line, which is representing Mainland Europe power prices and also the forward prices in Mainland Europe, which as you can see, are quite elevated and above $250 for most of the period. And whereas you see in the dark blue line, the sort of Nord Pool forward prices. So you see there is quite a bit of disconnection to the Mainland power prices.
Lucas Pipes: I appreciate that very much. Thank you. That's all my questions for today.
Shelly Harrison: Sorry, we add one more thing just to understand the coal exposure. We do have 50% of our exposure hedged for the current year. So when you're looking at EBITDA. These hedges are actually financial hedges. So they'll fall below EBITDA. You'll see the full impact of Nord Pool for that 30% running through EBITDA, but then below EBITDA, when you get to cash flow. We do have a hedge in place for 60% of that exposure.
Jesse Gary: Yeah, that's a good point, Shelly, and that hedge is at € 24 per megawatt, so quite beneficial hedge. And then just as a reminder, we're 80% hedged for that link in 2023. And then starting in 2024, that linkage in Nordic power markets goes away and the Landsvirkjun contract converts to a fixed price contract.
Lucas Pipes: Very helpful. Thank you both very much for this.
Operator: [Operator Instructions] The next question is a follow-up from Timna Tanners with Wolfe Research. Your line is open.
Timna Tanners: Yeah. Hey guys. I thought I'd capitalize on having you on the line to ask about slide four, the one with the primary aluminum consumption days of inventory. I've been watching that and kind of I'm surprised at that. Just thought I’d ask if there's any implication or comments, because the inventory has been shrinking even as the aluminum price has been falling. So, I wanted to get your thoughts on that. And then, if I could, I saw the capital allocation slide, you mentioned M&A a couple of times. So, if you wouldn't mind reminding us -- I see three mentions here, so I thought I should ask a little bit more color on what you're thinking, what size, what area of the market, et cetera. Thanks.
Jesse Gary: Sure. No, that's great. That's great, Timna. Two good questions. I'll start with the first one. So yeah, we do still see strong deficits and we expect those to continue for some time beyond what we showed here on the slide. Of course, LME price has to do with global balances. Sometimes you'll see inventories most efficiently reflected in regional premiums. And so when you look at Midwest and you look at EBPP, both are basically at record highs, reflecting those tight inventory levels in the short market. So sometimes inventories will be more, sort of, efficiently reflected in the delivery premiums than in the LME price. Of course, overall, the LME price is there. It can just be a little bit more forward-looking than the regional premiums, which are specifically looking at those inventories. So on the M&A piece, yes, of course, for -- of course, as we look at areas of growth, we look at both sort of organic growth and then any potential M&A growth. There's no specific area that we're targeting. But if you did see us do anything, you'd probably see it a reflection of the markets where we're strong in, in the US and Europe, and just sort of looking to fill any sort of growth gap that we could. But no specific targets in mind just reflected there as an option.
Timna Tanners: Okay. Thank you.
Peter Trpkovski: Great.
Operator: Thank you, Ms. Timna. The next question is a follow-up from David Gagliano with BMO. Your line is open.
David Gagliano: All right. Thanks for taking my follow-up. So Shelly, I know you mentioned on the call, power contract reset in the US. And I think it's $12 million a quarter higher, of which $4 million we see in the second quarter. I believe that's right. What is that reset? And are there any others coming up?
Peter Trpkovski: No. So David, first -- what that is, is in the U.S. in mirco specifically, you pay both an energy price and a capacity price. And for the past five, six, seven years, that capacity price has basically been de minimis. That at price is determined for the entire micro system in an auction that occurs in April. And this year, a significant amount of capacity did not bid in, which drove up that capacity price that we're paying for energy core capacity in the micro market. It was unexpected within micro. You can see their own commentary on it. Also, we do not expect it to clear these levels. I think when you look at potential causes, I think the market has been affected and people have sort of -- as in many other areas, then expect surprised a bit by the strength of industrial demand across the US, and that could be a driver that we saw this year, nothing else on the energy price that's out there similar to this.
David Gagliano: Okay. So that's the only reset or if I say the term incorrect, I apologize, but that's the only type of exposure to this sort of thing until next April. Is that right? Is that the idea here?
Peter Trpkovski: That's right.
David Gagliano: Okay.
Peter Trpkovski: So the auction will occur again next April and set the price for then June 2022 through June 2024. This price is from June 2022 through June 2026.
David Gagliano: Okay. And I got those numbers right, right? So it's incremental $8 million in the third quarter versus 2Q correct? $12 million in total quarterly?
Peter Trpkovski: That's right.
David Gagliano: Okay.
Peter Trpkovski: Correct.
David Gagliano: Okay. And somewhere in that bridge to $120 million to $130 million, I'm assuming in the power piece, which only calls out, I think, Nord Pool, where is that -- I mean I don't want to -- I'm just wondering where is the hit in that bridge, the $120 million to $130 million EBITDA guide for the second quarter? Is it in that power piece somewhere?
Peter Trpkovski: Yes.
Shelly Harrison: Yes. So it's in the $45 million quarter-over-quarter increase in power cost. That is the $4 million for the capacity charge.
David Gagliano: I see. Okay. Got it. No more. Thanks.
Operator: Thank you, Mr. Gagliano. There are no additional questions waiting at this time. I will now turn the conference over to management for any closing remarks.
Peter Trpkovski: Thanks, everybody for joining, and we look forward to talking to you for the Q2 call. Thanks, everybody.
Operator: That concludes the Century Aluminum Company first quarter earnings call. Thank you for your participation. You may now disconnect your lines.